Operator: Good morning. My name is Chris and I will be your conference operator today. I would like to welcome everyone to Cronos Group’s 2022 Third Quarter Earnings Conference Call. Today’s call is being recorded. At this time, I would like to turn the call over to Shayne Laidlaw, Investor Relations. Please go ahead.
Shayne Laidlaw: Thank you, Chris and thank you for joining us today to review Cronos Group’s 2022 third quarter financial and business performance. Today, I am joined by our Chairman, President and CEO, Mike Gorenstein and our CFO, Bob Madore. Cronos Group issued a news release announcing our financial results this morning, which is filed on our EDGAR and SEDAR profile. This information as well as the prepared remarks will also be posted on our website under Investor Relations. Before I turn the call over to Mike, let me remind you that we may make forward-looking statements and refer to non-GAAP financial measures during this call. These forward-looking statements are based on management’s current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. Factors that could cause actual results to differ materially from expectations are detailed in our earnings materials and our SEC filings that are available on our website, by which any forward-looking statements made during this call, are qualified in their entirety. Information about non-GAAP financial measures, including reconciliations to U.S. GAAP, can also be found in the earnings materials that are available on our website. We will now make prepared remarks and then we will move into a question-and-answer session. With that, I will pass it over to Cronos Group’s Chairman, President and CEO, Mike Gorenstein.
Mike Gorenstein: Thanks, Shayne, and good morning, everyone. I’d like to start our call today by discussing the strategic realignment we have been working on this year. We have taken steps to cut costs as you have seen within our operating expense structure and continue refining our budgeting and capital allocation processes to improve further. Our slimmer cost structure and more targeted approach to growth across segments helps ensure that we are allocating funds to the right project initiatives. All new investments share common goal, profitably grow Cronos with a focus on borderless products and brands that can adapt to new markets as they open. Thanks to continuous efforts and reinforcing our startup mentality, we remain on track to hit our cost savings target of $20 million to $25 million in operating expenses in 2022. As we complete the budgeting process for ‘23, we remain keenly focused on cutting additional costs throughout our business to provide a firm footing for Cronos to build its borderless product portfolio and enable long-term sustainable growth. A key area of focus for us has been adapting our supply chain. The build-out of downstream processing capabilities at GrowCo is progressing, with flower packaging up and running. And we continue to be pleased with the cultivation performance at GrowCo and our other CMO providers. In the third quarter, GrowCo reported to us preliminary unaudited revenue of approximately $5.8 million to non-Cronos customers. And as a reminder, GrowCo has been repaying its senior secured loan, which is now approximately $73 million. These loan receivables, combined with our balance sheet of approximately $890 million in cash and short-term investments, and strategic investments in Cronos Australia and PharmaCann set us up well to enter new markets as they open. Balance sheet management through economic uncertainty is paramount and our desire to maintain a significant industry leading cash balance ahead of potential global strategic growth opportunities has guided many of our decisions year-to-date. To maximize the benefits of our balance sheet, we have repositioned a significant portion of our cash into short-term investments to take advantage of the higher interest rate environment. Growth innovation continue to be a theme for us. In Canada, our Spinach brand is winning in the edible and vape categories. And we expanded on our offerings in these two categories with Spinach FEELZ, CBN gummy and vape products. We are excited that this portfolio of rare cannabinoids continues to grow. And with a best-in-class product development team, we believe we can continue to provide consumers with superior and differentiated products utilizing rare cannabinoids. Further leveraging rare cannabinoids to expand our portfolio will continue to be pivotal for our ongoing new product launches. Having most recently announced the achievement of the equity milestone for THCV, we are pleased with the product development progress across categories and look forward to sharing more details on new product launches in the future. This quarter we also received the results of an important third-party verified study, which evaluated the sustainability and impact of traditional methods of cannabis extraction and their own proprietary fermentation methods. The results were clear, the environmental footprint of growing plant indoors is high and using innovative fermentation processes dramatically lower the environmental impact of cannabinoid production. These results show a striking advantage for the fermentation method as the average percentage carbon footprint saving of the fermentation method is 99.8%. While our industry is young, it’s never too early to lead and invest in technology that helps contribute to a greener future. While fermentation enabled us to make a smaller environmental impact, it also allows us to leverage rare cannabinoids making way for unique and new experiences through proprietary blends of cannabinoids. The fact that we are able to create breakthrough products while being environmentally friendly is a win-win for Cronos. Despite a challenging macro environment in Canada driven by disruptions at our provincial customers in Ontario and British Columbia, our team continued to push new innovations and drive profitable growth. To make up for these disruptions, we strive to maintain supply continuity with customers. Although those efforts resulted in higher labor and shipping costs, we expect that the focus we put on making sure our products were on the shelf will pay dividends over the long run. The following market share commentary will all be referencing Hyfire data. In the flower category, 28-gram bags have come to dominate the market, making up 7 of the 10 – top 10 SKUs. Spinach once again achieved the number one ranked dry flower SKU in December with our 28-gram wedding cake offering achieving a nationwide flower market share in Q3 of 6.4%, up 50 basis points from last quarter, making us the number three brand nationally in flower. 28-gram flower typically carries a lower margin profile despite this impact to our financials. It is important that when selling into the provinces and building relationships with retailers that we have a full product portfolio that they are looking for. Our 28-gram products are winning on quality not just being the cheapest. We are confident that over the long run in partnership with GrowCo and other contract manufacturers, we can improve on the margin profile of the category. Moving to edibles, Spinach continues to expand market share up 100 basis points from last quarter to 15.3% and 19.8% market share when looking at just the gummies category. 5 Spinach gummy SKUs are in the top 15, including the number one and number two market share positions on a per SKU basis. We continue to be more efficient and targeted with our SKU launches and edibles, driving market share gains with limited cannibalization, which is exemplified by our Spinach FEELZ rare cannabinoid focused gummy additions, which are quickly climbing market share ranks. In vapes, we expanded market share by 70 basis points versus last quarter to 4.1%, driven by the wave of new products we brought to market this year, including the Blackberry Kush CBN vape, the Tropical Diesel CBG vape, and the Atomic Sour Grapefruit vape. In pre-rolls, despite not being where we want to be at, we have several innovations in SKU assortment changes that we expect to change the trajectory of this category for us. This overhaul will include new packaging, market aligned pricing, and innovative new infused pre-roll offerings that just shipped last week. These new Spinach pre-rolls include a THC boosted product called Atomic GMO, which is a crossbreed of two of our best selling flower operators, Atomic Sour Grapefruit and GMO cookies, as well as the CBG infused pre-roll under the new Spinach FEELZ sub brand. We are very excited to get our new pre-roll product assortment into the retail channel so our sales team can do what they do best. Turning to Israel, our PEACE NATURALS product continue to win in the market. Our team in Israel grew reported net revenue 88% year-over-year to $7 million and on a constant currency basis, net revenue in Israel increased 98% year-over-year to $7.4 million. We have had incredibly positive patient reactions to our newest strain launches, Cocoa Bomba, wedding cake and GMO cookies in addition to our packaging redesign, which allows for additional information on the terpene profiles of our product. Israel’s patient count continues to grow as well, adding approximately 1,500 new medical cannabis patients in September, nearing a total of 120,000 patients. This is the third consecutive month we have seen patient growth of approximately 1,500 or greater. The reacceleration and year-over-year growth for patient permits provides a good foundation for growth in the Israeli market for us to capitalize on. Earlier this year, our brand PEACE NATURALS launched an ad campaign in partnership with the Warriors for Life Association in Israel. The campaign called on mayors to restrict or stop traditional fireworks shows that cause distress and anxiety to medical patients and those with PTSD as a result of conflict and war, a serious problem faced by many veterans in the country. We are proud to have been awarded a prestigious Clio Award for this campaign in the Social Good category. Congratulations to our deserving PEACE NATURALS team in Israel and the amazing work Warriors for Life due for our veterans. I want to take a moment to shed light on our U.S. business performance. As you have heard over the past couple of quarters, we have completely shifted away from our beauty category focused portfolio, all inventory that is beauty focused is being worked through in the wholesale and DTC channels as we shift the focus of these brands to adult-use products formats. We continue to improving our cost structure in the U.S. and believe it is important to focus our investments only in areas that will give us an advantage in adult-use product formats. We are focused on creating borderless products and brands that can easily be adapted to emerging cannabis markets as they become commercially viable opportunities. The pivot in our U.S. business further drives us towards our singular focus of creating adult-use cannabinoid products. Looking to the adult-use cannabis market opportunity, we are pleased to see progress by the Biden administration last month to issue pardons for minor cannabis related offenses at the federal level and urging governors to do the same. These actions represent a small, but important step towards healing the harms done by cannabis prohibition in the United States. We believe cannabis should be legal and that a comprehensive and reasonable regulatory framework should be put in place for the industry. As legalization efforts continue across the U.S., we are committed to using our voice to lead the industry forward responsibly and we will continue to be an integral part of the conversation. We are proud to support responsible legalization efforts and meaningful social justice reform. Moving to Australia, where we have an approximate 10% stake in Cronos Australia, the team is executing at a high level in the early stages of the market development. During our third quarter, Cronos Australia announced the $0.01 share cash dividend, which yielded Cronos approximately $390,000 in October. Having a long-term low capital investment such as Cronos Australia start to pay capital back is a big positive. Cronos Australia also recently – excuse me, also recently reported strong financial results, with revenue in September, hitting a record AUD9.9 million, which is a run-rate of nearly AUD120 million annually. To continue to drive long-term growth, they recently bought a new state of the art distribution center online. With a growing infrastructure, expanding medical market and strong team, we look forward to Cronos Australia’s continued growth and market penetration. And last but certainly not least, I would like to congratulate Jeff Jacobson on his expanded role and promotion to Chief Growth Officer. Jeff has been with Cronos since 2016 and most recently served as SVP, Head of Growth North America. In addition to Jeff’s oversight of the marketing and sales functions, in his new role, he will oversee North American operations. Given the speed at which this industry moves, we believe having one leader guide the process from the point of idea creation to getting the product on the shelf will lead to better results for us going forward. Congrats to Jeff on this new role. With that, I would like to pass it to Bob to take you through our financials.
Bob Madore: Thanks Mike and good morning, everyone. Company reported consolidated net revenue in the third quarter of 2022 of $20.9 million, a 3% increase from the third quarter of 2021. Constant currency consolidated net revenue increased 7% to $21.8 million. Revenue growth year-over-year was primarily driven by an increase in net revenue and the rest of the world segment driven by cannabis flower sales in Israel and cannabis extract sales in Canada partially offset by reuse sales in the U.S. and lower cannabis flower sales in Canada driven by adverse price mix. Consolidated gross profit for the third quarter of 2022 was $1.2 million, representing a $1.9 million improvement from the third quarter of 2021. The gross margin was positive 6%, up from a negative 4% last year. The improvement versus prior year was primarily driven by increased revenue in the ROW segment mainly driven by cannabis flower in Israel, a favorable mix of cannabis extract products to carry a higher margin profile than other product categories and lower cannabis biomass costs, which were partially offset by lower fixed cost absorption due to the timing of the wind down activities at the PEACE NATURALS Campus and lower revenue in the U.S. segment. Consolidated adjusted EBITDA for the third quarter of 2022 was negative $21.7 million, representing a $25.1 million improvement from the third quarter of 2021. The improvement versus prior year was primarily driven by decreases in general and administrative, sales and marketing and research and development expenses as a result of the company’s strategic realignment initiative, and an improvement in gross profit. Now, turning to our segments, in the rest of the world segment, we reported net revenue in the third quarter of 2022 of $20.4 million, an 11% increase from the third quarter of 2021. Constant currency net revenue in Israel increased 98% to $7.4 million, while constant currency net revenue in Canada was down 2% to $13.9 million. Revenue growth year-over-year was primarily driven by increased flower sales in Israel and increased cannabis extract sales in Canada. These gains were partially offset by lower cannabis flower sales in Canada driven by an adverse price mix shift. Gross profit in the rest of the world segment for the third quarter of 2022 was $3.1 million, representing a $2.6 million improvement from the third quarter of 2021. Gross margin was positive 15%, up from positive 3% last year. The improvement versus prior year was primarily driven by increased cannabis flower revenue in Israel, higher cannabis extract sales in Canada to carry a higher gross margin than other product categories and lower cannabis biomass costs partially offset by lower fixed cost absorption due to the timing of wind down activities at the PEACE NATURALS Campus. Adjusted EBITDA in the rest of the world segment for the third quarter of 2022 was negative $11.4 million, representing an $18.3 million improvement from the third quarter of 2021. The improvement versus prior year was primarily driven by a decrease in general and administrative expenses and an increase in gross profit. Turning to the U.S. segment, we reported net revenue in the third quarter of 2022 of $500,000, a 76% decrease from the third quarter of 2021. The decrease year-over-year was primarily driven by a reduction in sales as a result of a decrease in promotional spend and SKU rationalization efforts as the company implements its realignment of the U.S. business. Gross profit for the U.S. segment for the third quarter of 2022 was negative $2 million, representing a $700,000 decline from the third quarter of 2021. The decline year-over-year was primarily due to lower sales volumes and increased inventory reserves driven by the realignment activities. Adjusted EBITDA in the U.S. segment for the third quarter of 2022 was negative $4.9 million, representing a $7.3 million improvement from the third quarter of 2021. The improvement versus prior year was primarily driven by decreases in sales and marketing, general and administrative, and research and development expenses driven by the reduction in beauty category focused R&D. Now, turning to our balance sheet, the company ended the quarter with approximately $890 million in cash and short-term investments. As foreign exchange rate volatility has impacted our P&L, this also had a large impact on our balance sheet. If you applied the FX rates for the period ended December 31, 2021, on the current period balance sheet, we would have approximately $940 million in cash and short-term investments, approximately $50 million difference. We have made significant strides to reduce spending and improve our cash burn rate. Our free cash flow has improved by over 50% versus the same period last year driven by operating expense savings and a 35% reduction in CapEx, which was down to $1.6 million in the third quarter. With that, I will turn it back to Mike.
Mike Gorenstein: Thanks Bob. We started Canada to learn and build a borderless product portfolio. The lineup of products we have created to-date continue to win driving market share gains for Cronos across categories, giving us confidence that they can win in any market. Despite certain challenges in Canada that drag on profitability, proving out our capabilities and building an elite team, remain top priorities. In Israel, our team continues to fight for and win market share, which is a testament to our branding and product quality. Having a team on the ground is a big differentiator for us and you will see us continue to leverage that strength in Israel as the market continues to grow and evolve. As we continue to execute on our strategic realignment, I am encouraged that we have maintained our innovation progress with a leaner cost structure. I want to thank our dedicated employees who continue to stay focused on the long-term plan. We remain singularly focused on winning in the adult-use cannabis market globally and our industry leading balance sheet affords us the opportunity to selectively invest and build our platform in new markets as they open. With that, I will open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Andrew Carter of Stifel. Your line is open.
Andrew Carter: Hey, thanks. Good morning, I wanted to drill down on the Spinach bags, which has been kind of the vast majority of your growth in the headset trends. Obviously, it shows some diminishing returns. First is, is that profitable on a gross margin basis and is the theory there like an attachment rate that allows you to get the other Spinach products, whether it be pre-rolls, vapes, on the shelf and this is just the cost of doing business? Thanks.
Bob Madore: Sure. Thanks, Andrew. Yes, no, it is a positive gross margin. And I think there is a few things one. We do look at it. And it is important from a utilization perspective to be able to have sort of the outflow for the supply chain, but also, when you think about utilization, for us, it does drive a lot of value in the GrowCo equity that we have to make sure that we are utilizing the facility. But also, I think it’s important for the strength of the brand and for some of the other products we are launching, getting familiarity with some of the new strains will certainly fuel some of the work that we do in pre-rolls and vapes. So I think when you look at it overall for the portfolio and value driver, certainly there. And I take your point on 20 grams versus 3.5 grams, but I think, we have to look at what consumers want and respond to it.
Andrew Carter: Thanks. Second question, I want to ask about the cost savings, $20 million to $25 million achieved this year, can you give us a sense of how much of those $20 million to $25 million hit the P&L this year? Therefore, how much is incremental next year and you did allude to further optimization savings, I wanted to make sure I understood that you could have more. And I know that you said kind of the U.S. it’s important for your future business, but that’s $8 million of cost, if I had got that right a quarter. Is that just a cost it’s going to be embedded with you until something changes until you hit some kind of disruptive or is even those $8 million or therefore $30 million annualized savings in scope as well? Thanks.
Mike Gorenstein: Sure. So, when we think about the U.S., there is still – we see opportunity there. I wouldn’t say that we are happy with the cost structure versus what the contribution is today. But we do see opportunity in the U.S. So, it’s still a business that we are working on and making sure that we are making it as lean as possible and basically transforming to something that’s a positive contributor. I will let Bob speak to where we are overall in the $25 million. But part of that when I talk about further opportunities, is just because we had the plan in the beginning of the year, it doesn’t mean we are not constantly looking for any incremental savings, evaluating everything we do, to find places that we can improve our bottom line.
Bob Madore: Yes. Thanks Mike. I will just add a little more color on that. Listen, we are very confident in our ability to hit the $20 million to $25 million in cost savings. Those are actual realized cost savings in this fiscal year versus prior year. We are in the middle of and working through our 2023 budget process and as Mike pointed out in his prepared comments, we are very focused on continuing to become more efficient and effective. Our realignment strategy and restructuring activities are really going to be a big contributor to improve, not just gross margin, but also operating efficiencies too. So we are anticipating additional savings beyond the 2025. We realized this year going into 2023 also.
Andrew Carter: Thanks. I will pass it on.
Operator: Thank you. [Operator Instructions] And our next question will come from the line of Michael Freeman of Raymond James. The line is open.
Michael Freeman: Hey, good morning, Mike, Bob and Shayne. Thanks for taking our questions here. I was glad to see the launch of CBD infused pre-rolls products involving CBN, product development with THCV. I wonder if you could provide us an update on if there is any new strategic thinking on how you are considering deploying cultivated cannabinoids through your partnership with Ginkgo? Thanks.
Mike Gorenstein: Sure. Thank you. We actually think this to be going well as far as uptake for the product. And a lot of the strategy for the product pipeline that we have had in motion does involve heavily those products. So we have seen great response to the edibles and to the vapes and with just shipping with a rare cannabinoid this week – sorry last week with pre-rolls. We do feel like those are the three main categories that makes sense to have the rare cannabinoids in. Now, it’s some of the cannabinoids, we have been developing that haven’t been on market starting to come out. So, just given when we look at say CBG field gummies having a 1.9% market share, just on a single SKU basis, we think the strategy is working and we think that the portfolio will continue to gain strength as there is more and more new differentiating cannabinoids that we can add to the roster.
Michael Freeman: Okay, great. Thank you. And as a follow-up, I was reading is that the – your exit from PEACE NATURALS Campus is going to be pushing into 2023, I wonder if you could provide us update on that?
Mike Gorenstein: Sure. While we think the bulk of the transition should still be done this year, there has just been some delays with getting some of the CMOs up and running to be able to handle the capacity. And for us, what we think is most important is making sure that we are able to maintain the products on shelf to be able to kind of keep the top line momentum so that when the transition is complete, we can fully realize the benefits of the cost savings. So we are being careful and making sure that we are not rushing. So we expect still the first half of next year the transition should be complete and noting that it’s a definitely a gradual transition, but we have completed all cultivation activities at PEACE NATURALS.
Michael Freeman: Okay, thank you. If you would entertain just one more, thinking about your U.S. strategy, I wonder if you could shed some light on your internal thinking, especially in light of cannabis recent move to execute U.S. investments by way of holding co and this changes your view on the U.S. outlook?
Mike Gorenstein: Yes, I think for us, we are in a different situation than a lot of peers. Given that we have a strong investment with PharmaCann today, but most of our dry powder is still maintained on the balance sheet. We have a lot of flexibility not having any debt. And we do look at it still is making sure we have the right product portfolio. And ultimately, when we look at the U.S. how do we get out our product portfolio and how do we find new products to add to it? We think that there is certainly a lot of momentum with the Biden announcement. But we are looking at structures that fit out best. And I think you will see us getting closer and closer to that. So we are really excited about the U.S. opportunity and we still feel it is a branded product opportunity and things are going to continue moving more towards the CBG looking market.
Michael Freeman: That’s great. Thanks. I’ll pass it on.
Operator: Thank you. [Operator Instructions] Our next question will come from Vivien Azer of Cowen. Your line is open.
Vivien Azer: Hi. Thank you. Good morning. I wanted to follow-up on the rare cannabinoids, while it’s still early days for you, Mike, I know you are a keen observer of the U.S. marketplace where products are featuring rare cannabinoids are more available. So, I would love to just get your impressions on what you see from a category kind of perspective and whether you think that will apply to cannabis? Thank you.
Mike Gorenstein: Sure, it’s a great question. I think one of the challenges that led us to this or work down this pathway is, it’s still very difficult to get enough availability of some of those rare cannabinoids. There are some cannabinoids that are easy to get in the U.S. now, again, CBG. But we look at some of the ones, THCV, for example, that you are just not seeing commercial availability and some supplies. But we have seen that even, outside of the traditional cannabis channels, cannabinoids like CBN, once consumers have now learned, what CBN does, there is a lot of uptake of it. And it does provide a different theater and really like standalone branded products. So, we continue to believe that it’s a great opportunity and a good way to escape, call it commoditization of products.
Vivien Azer: Understood. And my follow-up in pivoting to Israel, nice to hear that the market has reaccelerated, just would love to get an updated view of where you think market penetration can go in Israel? Thanks.
Mike Gorenstein: Sure. Yes. I think we did have those temporary kind of stop for a few months, and we have seen things start to turn back on. We think that things are now headed back in the right directions. The markets looking good growth wise. And it’s really the thing to watch is what’s happening with patient growth, how much is that re-accelerate towards we just had had an election last week, which we think, give more certainty to how things moving forward politically. And we are very optimistic. We think that our ability to continue outpacing the growth of the market, and the wholesale channel, and then also the market continue to grow is it gives us the bright future.
Vivien Azer: Thank you.
Operator: Thank you. [Operator Instructions] The next question will come from John Zamparo of CIBC Capital Markets. Your line is open.
John Zamparo: Thanks. Good morning. I also wanted to touch on the Israeli market. And can you talk about the pricing dynamics here? And do you think you are taking share in Israel?
Mike Gorenstein: Sure. Yes. They has still been some limited pricing pressure, but it’s relieved compared to what we had a quarter or two quarters ago. So, you are seeing some of the excess supply work its way through the system. And I think we are taking share. I think that we stand out when it comes to quality I think that the brand is recognized as being a leader. And we are continuing to perform. So, I think that the combination of having better quality, but also now, it’s getting back to patient growth is generally improving the dynamic there. And I think there was sort of a lesson that was learned as far as we did have a big shortage in Israel. So, there was a lot of activities bringing whatever products local companies could find. And I think now there is a little bit more skepticism in what product is coming in. So, we see those macro dynamics continuing to improve, and we have already seen them improve over the last couple of months.
John Zamparo: Okay. That’s helpful. Thanks. And then my follow-up is on gross margin, and apologies if I missed it. But can you say what this was either consolidated or rest of world if you back out the PEACE NATURALS exits?
Mike Gorenstein: Yes. Bob, do you want to go ahead and take that one?
Bob Madore: Yes. No, definitely. We really feel confident in the trajectory of our emerging profile. There were a lot of pluses and some minuses that transpired in the quarter. But as you guys talk about a second ago, Israel’s margin has remained strong and is growing as that business continues to grow in revenues. We are experiencing lower biomass costs through our relationship, partnership with GrowCo. And that’s going to be a long-term sustainable type savings, versus history, past experience. As cannabis extracts continue to become a bigger part of our business in Canada, it will continue to have favorable margin trends. They have higher margins than other product categories. And that was offset, particularly in this quarter by a few things. One was, we have realized and recorded a $1.8 million decline in gross profit dollars, sequentially from Q2 in the U.S. business. And a lot of that was driven by taking inventory reserves, discounting product as we work through, discontinued use and product categories. We had and we experienced in the RoW segment, lower fixed costs absorption this particular quarter with the slight delay, and our transition out of the Stainer facilities, we talked about a little bit. We also discussed in the call, the adverse price mix shifts in the Canadian flower category that’s driven by the 28 gram bags, that drove some of the margin impact in the quarter. So and then lastly, and again, another like, period based anomaly, we believe. During this quarter, in the third quarter, we did some – began downstream processing of some rare cannabinoids that haven’t reached their milestones yet on efficiency. But we think speed the market with this product, and the differentiation that’s going to create is a great investment and will have a long-term ROI. So, there are a lot of pluses that are going to be sustained and sustainable and a lot of minuses. And I would say most of the minuses incurred in the quarter were just period expenses. And I don’t consider there are going to be things that carry forward long-term.
Mike Gorenstein: Thanks Bob. And just to follow-up on the rare cannabinoids point, what you are seeing here, remember, last year, we amended the agreement so that if we wanted to commercialize the cannabinoid early before the products hit, that we have the option to issue one-third of the equity upon commercialization. And so what you can see back there is we were excited about the cannabinoids that we wanted to get into market early.
John Zamparo: Understood. That’s helpful. Thank you.
Operator: Thank you. [Operator Instructions] Our next question will come from [indiscernible] of AllianceBernstein. Your line is open.
Unidentified Analyst: Hi. Thank you. Good morning everybody. Two questions for me. So, first, you stated that you expect pre-roll innovation to be your next big driver of growth. And I know you called out those two products in particular. So, given that that segment is already pretty crowded, what gives you the confidence that your brands are going to win in that space and drive that growth you are talking about? And then my second question, your U.S. revenues, they continue to fall, you have explained that very clearly, as part of your realignment plan? Could you give us any clarity as to how we should think about that segment? Little bit more long-term, should we think of this quarter as a bottom, is there more decline to come? How can we expect it? When should we expect it to actually start growing again? Thank you.
Mike Gorenstein: Great. Thanks. For the first question, look, I think every category in cannabis, either is crowded or will quickly become crowded until there is ultimately differentiation and you see, companies start to set apart. So, when we think about the way that we are entering, taking similar approaches in other categories, it’s about really focusing on what we think consumer wants. It’s making sure that the brand is going to perform well and that we have a really, really good product. So, there is a lot of innovation to come in pre-rolls. But one of the reasons you are seeing some improvement there is, there is an opportunity to differentiate, able to provide a lot of value to consumers, as far as the complexity of the product with different terpenes and flavor and the convenience. So, I think it’s ultimately the same, you could have said that edibles was really crowded, and I think we performed well. And I think that pre-rolls is a very large category with a lot of runway and opportunity. And we are excited about it. And I think that this is only the beginning. We have a lot that will be coming out for the next couple of years. And I think it’s going to continue to take share from flower. As far as the U.S., I think it’s still something that you will see in transition. I mean we are going to be focused on continuing to skinny down and get to a place where we are focused on just the adult use product format. And I think you will then see start to grow and we are able to get the right innovation back in the market and we have the infrastructure proper. I think that while we would limit the formats that what we can do as far as product SKU, if it’s something where you see the growth come from. There is cannabinoids beyond CBD that we think are able to stand out and provide more growth. And it’s very hard to differentiate with only CBDs and similar to what we see in THC type products. So, I think being able to use a lot of different cannabinoids is what’s going to drive the growth there.
Unidentified Analyst: Alright. Thank you.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Andrew Bond of Jefferies. Your line is open.
Andrew Bond: Hey. Good morning, Andrew Bond on the line for Owen Bennett. Thanks for taking our question. I wanted to touch – revisit on the comments you made about the sizeable dry powder you have in the balance sheet and prospects for M&A. Obviously, valuations in the industry across the board has been coming down. Can you give any more detail around what opportunities you might be evaluating, valuation levels you are seeing? And can you remind us of kind of how your focus is in terms of assessing how you would like to deploy that cash? Thank you.
Mike Gorenstein: Sure. Thanks. It’s a great question. I think valuations certainly are coming down. And I think that one of the things that we probably think about differently here is we are again, looking at what happens in a world where state borders fall and when there is the equilibrium of supply and demand. So, we are looking when – what’s going to stand out, when you are able to always find a location, you are able to go and pick up products. What does it look like in a mature market, and for us, that comes down to branded products. So, we haven’t really changed in our thinking there, still looking to see what the best opportunities are. And you see, every quarter, you are seeing separation, and you are seeing that kind of maturity in a lot of the market. So, we are not as interested in, okay, here is a brand new market, look at the huge sizable margin spread, because you will see that that will compress as you are able to get more supply on the market. And then over time, that starts to shift, as with any other consumer product industry, towards what the best branded products are.
Andrew Bond: Got it. Thank you, Mike. I will pass it on.
Operator: Thank you. [Operator Instructions] Our next question will come from Matt Bottomley of Canaccord Genuity. You line is open.
Matt Bottomley: Good morning all. Thanks for the question here. Just one follow-up for me, Mike, just on one of your comments in the Q&A here that, you anticipate a lot of different product categories, particularly in Canada to eventually become saturated, which I would agree with. In the current regulatory environment, do you think a lot of the gains, Cronos has done and this particularly in the edible category, there has been one or two of your peers, which edibles seem to be a category where there has been some growth here? What’s your view on how that category in particular is going to trend, obviously, dried bud kind of fell off a cliff, particularly at the value segment. Do you think kind of branded products is limited as they are in Canada are a little more protected from that? Are you anticipating over the next 12 months, 16 months, who is going to have to be additional pivots even in the categories that are doing well for you right now?
Mike Gorenstein: Yes. Sorry. Just to clarify what I meant there. It’s a great question. What I meant by saturated is, there is not going to be an opportunity in cannabis, just given how large of an industry, all the potential where you are going to be the only one who moves in and say like you are one of the three companies that are offering pre-rolls. There is an opportunity you can expect everyone is going to go chase it. But what I do think that I like about pre-rolls I will just touch edibles is the further you get from flower, the more differentiation you can have. Adding edibles is probably about is far along that different curve as you can get. So, pre-rolls is certainly right up there. But I don’t think you are going to see a lot of change in edibles, and it’s not a coincidence. If you look at the U.S. this edible is probably more than the category, we can see consistent brands that are popping up across different states, even though they aren’t necessarily multi-state operators. I think you will see that with pre-rolls. So, I think there is more innovation to come, outside of this gummies in Canada. But I think it started off saturated and if anything, that you are seeing leaders emerge. And there is much more stickiness than something like flower.
Matt Bottomley: Got it. Thank you.
Operator: Thank you. And this will conclude the Q&A session of today’s call. And we will also conclude today’s conference call. Thank you all for participating. You may now disconnect and have a pleasant day.
Mike Gorenstein: Thank you.